Ben Smith: Good morning, everyone, and thank you for joining us today for the presentation of Air France-KLM's results for the fourth quarter of 2024. Today, I'm joined by Steven Zaat, Group CFO; Anne Rigail, CEO of Air France; and Marjan Rintel, CEO of KLM. I'll start with key highlights from this quarter, followed by Steven, who will walk you through our financial performance and outlook for the year 2024, and then, we'll wrap it up with closing remarks on our medium-term ambitions before opening the floor for your questions. Moving first to Slide 4. Okay. Reviewing our key financial indicators for this quarter. The group revenue increased by 6% compared to last year with capacity up 2%. Unit revenue growth accelerated in Q4, plus 4.4% compared to plus 1.4% in Q3, which is adjusted for the impact of the Olympic Games. The opening result stood at €0.4 billion, a significant improvement from last year's loss. This marks the strongest fourth quarter on record driven by solid unit revenue growth that outpaced unit cost increases as well as lower fuel prices. The strong year-end performance helped offset earlier headwinds, resulting in a year operating margin of 5.1%. Despite a challenging operational environment, the group generated €300 million in adjusted recurring free cash flow, in line with the ambition set out during the 2023 Capital Market Day. The net debt-to-EBITDA ratio stood at 1.7x at the end of the fiscal year, well within our target range of 1.5x to 2.0x. We made progress on our fleet modernization strategy with new generation aircraft now accounting for 27% of the fleet as of December, an increase of 7 points since the end of 2023. Now let's take a moment to highlight some of the major achievements we've accomplished together over the last years. Moving on to Slide 5. We're very proud to highlight the significant progress our airlines have made in advancing key strategic priorities this year. We launched a new fully private Air France La Première ground experience at Roissy-CDG Airport, elevating luxury travel with Air France to an entirely new level. In 2024, we introduced Air France Concierge, which is a range of tailor-made premium service available to all customers at Roissy-CDG, offering an exclusive and seamless experience on departure, transfer or arrival. We also rolled out Air France Holidays, providing exclusive flight and hotel packages to destinations worldwide. Lastly, we announced a new free and ultra-high-speed WiFi offer with plans for fleet rollout starting this year. In 2024, we equipped all of KLM 787 and 777 aircraft with our new premium comfort cabins, doubling our capacity in this cabin class compared to last year. Meanwhile, both Air France and KLM enhanced the onboard dining experience with signature chefs crafting new menus, not only for flights departing from our home markets, but also from key international stations. These efforts were recognized by multiple awards with Air France and KLM receiving accolades for the third and seventh consecutive years, respectively, a testament to our commitment to excellence in both product quality and customer experience. In 2024, we spoke extensively about the Paris Olympic Games. Looking back, we can proudly say that we rose to the challenge with honor. From brand activation to the heart of Paris to the successful execution of operations, this event will remain a defining moment for our employees and leave a lasting positive impact on the entire group. I'd like to take a moment to express my deepest gratitude to everyone who contributed to its success. I'm also very proud to highlight the strong performance of our low-cost airline Transavia, which successfully launched hand paid luggage this year and join the Flying Blue loyalty program. These initiatives are part of our ongoing efforts to create a seamless travel experience across the entire group that caters to the diverse needs of all our customers. Now on to Slide 6. Diving deeper into our commitment to sustainability, we continue to make strong progress in fleet renewal. As I mentioned, new generation aircraft now represent 27% of our fleet, 7 points over and above last year. In addition, we secured a major agreement with TotalEnergies for up to 1.5 million tonnes of sustainable aviation fuel over the next decade. Another key milestone is the electrification of catering operations at KLM as part of our goal of achieving an emissions-free ground handling operation at Schiphol. The group's progress toward its environmental goals has received strong external recognition from multiple independent organizations. For instance, EcoVadis, a global provider of sustainability ratings, awarded our group gold metal, placing us in the 97th percentile among 150,000 assessed companies. Additionally, our MSCI ESG rating improved from BB to BBB, and we were recognized by transport and environment as the best among our peers for our efforts in incorporating alternative fuels. Moving now to Slide 7. Over the past year, we've strengthened our premium positioning at both Air France and KLM. We successfully stimulated demand for premium travel across our network, particularly on North Atlantic routes while maintaining our focus on delivering an industry-leading customer experience. Simultaneously, we have made strategic investments in our fleet and product replacing older aircraft with newer, more premium configured cabins, thereby reinforcing our commitment to high-value customers. Premium Revenue grew 12% year-over-year. Premium Cabins is now contributing 26.9% of total group revenue, an increase in more than 1 percentage point from last year. Corporate travel continues to rebound with revenue up 4% compared to 2023, driven largely by strong demand for premium cabins as well as strong performance on medium- and long-haul routes. In particular, premium and premium comfort cabins at KLM and at Air France saw a significant 29% revenue increase compared to last year, mainly thanks to additional capacity, including a twofold increase in premium comfort capacity at KLM, as we completed the retrofit of all the fleets, 787 and 777 aircraft families. This ongoing shift toward a more premium customer mix at both KLM and Air France remains a key driver of unit revenue growth and one of the fundamental pillars of our long-term profitability. On to Slide 8. Our revenue streams continue to expand beyond ticket sales with ancillary revenue increasing by 20% in 2024. Seat selection revenue saw strong double-digit growth for both KLM and Air France. A key driver to this growth has been the development of personalized options that enhance the customer experience. By leveraging dynamic pricing models, we are optimizing seat selection and baggage service pricing, thereby maximizing value while maintaining competitive offers for passengers. Meanwhile, Transavia's introduction of paid hand luggage has effectively adapted our product offering, improved operational efficiency and reinforced our financial performance. On to Slide 9, our cargo business delivered a solid year-end performance, driven by strong levels of demand and effective capacity management. Our industry-leading online bookings stood at 80%, reflecting our commitment to digitization and operational efficiency. Additionally, we are continuing to invest in our IT capabilities, enhancing our CRM and booking tools to maximize contributions across our network and ensure a seamless experience for all our customers. Engineering and Maintenance saw a strong external revenue growth exceeding 20% and significantly outperformed market trends. Our long-term contracts now cover all new aircraft types during steady business expansion and substantial order books. At the same time, we've enhanced technical performance and cabin quality across our fleet while advancing our capabilities with LEAP engines. Despite ongoing supply chain disruptions, our internal repair solutions have been effective in mitigating these challenges. Flying Blue is now fully deployed across all group airlines, solidifying its position of one of Europe's leading airline loyalty programs. This year, we expanded our vision beyond aviation by adding new lifestyle partners such as Revolut and Uber. Non-airline revenue grew by 22%, diversifying the program's income streams. Additionally, I'm very proud to announce that we have recently renewed our key strategic partnership with American Express, further solidifying our loyalty program as one of the most compelling in Europe and reinforcing our overall value proposition. I'd like now to hand over the presentation to Steven Zaat, our CFO.
Steven Zaat: Thank you, Ben, and good morning, everybody. Thank you for taking your time to listen to us. As you can imagine, I'm very happy with the results in Q4. It is by far the best quarter we have in our history, despite, let's say, all the brakes, we still have on our performance. I know that one swallow will not make a summer, but it is a very, very strong result for the quarter. So if we go to Page 10, you see that operating margins ended at 5.8%, with an improvement of results of €450 million for short supported by a much lower fuel price, but we were able to keep our unit revenue up by 4%. Despite the fact that our unit cost also went up, and I will make later the link, there is a link between the strong unit revenue performance and what we invest in our products and also the premiumization of our products. So all in all, a €450 million improvement in the fourth quarter, which, at the end of the day, results that we are slightly below the year 2023. So it's strongly supported by this fourth quarter. We saw that we had year-over-year impact of around €200 million year-over-year with all kinds of root causes. In Q1, we had a difficult operational climate, which we are improving now in the second quarter. And the third quarter, we saw the impact of the Olympics. And now you see that year-over-year, we are improving strongly our results. And I'm extremely happy that we have a positive recurring adjusted operating free cash flow. We know that we still have to pay back, let's say, the social wages in France and the wage tax in the Netherlands. But it's good to see that the business on itself generates a positive free cash flow despite the headwinds we had in 2024. If we go to Page 11, you see that there was an extreme strong load factor. So we increased our capacity, but we increased significantly our load factor compared to last year, and especially, we increased our capacity on the premium. On the left, you see that we increased the capacity by more than 4%. With that, the load factor went up with almost 2% and the yield went also by almost 2%. So a very strong development of the premium segment, which shows that our strategy to focus on this premium segment is paying off. If you look at the map on the long haul, you see a very strong demand on North America, capacity of 1.3%, 3% up in terms of load factor and another 3% in terms of yield. And it is -- this is excluding the currency impact. So if you would take even the dollar into account for what we sell in the U.S., it's even much stronger. Then if you go to, let's say, Africa. Africa, you see that we reduced our capacity. That has also to do with the geopolitical situation, which started a year ago, but still there also we see an increase of our load factor and keeping our yields stable. And last but not least, we increased in Asia our capacity that even drove up further the load factor that goes hand-in-hand with slightly lower yield, but be aware that this area has very strong cargo revenues. And we saw even that, let's say, our destinations in China were really in the top 10s of our long-haul performance. So very strong performance in terms of load factor, still keeping the yields very strong, and that drives up the total unit revenue. And last but not least, Transavia, 6.9% increase in capacity, 2% increase of load factor and 9% increase of yields, strongly supported also by the paid hand luggage, but it's good to see, and I'll come back on that later, that we have now the Transavia at a positive result. If we go to Slide 12, I think that is a very important one. We already guided that the Q4 would be difficult because of the maintenance cost at the KLM Components business. We see also an increase of ground-handling costs, and we know that the labor costs are driving up our unit cost. But on the right side, I think you should keep in mind that around 2% of this unit cost increase is to support our unit revenues. There's a direct relation by the fact that we have a higher load factor. So by definition, that increased the unit cost because there's a cost per available seat. Then we saw that we grew more our short and medium haul versus the long haul, and last but not least, we have a premiumization of the cabin. So we grew our premium cabin by 4.3% versus 1.2% on the economy. And our growth in premium economy was even 23% up. And then in the middle, you see the increase of the charges, which we actually don't -- cannot fully control, which are the air traffic charges and the airport charges, which has an upward of 0.7%. So the strong unit revenue performance has also to do that we have to make certain costs to deliver that. But all in all, it pays off, as you see, over the year-over-year development of our results. Let's then go to Page 13. You can imagine that a CFO with only getting figures on the slide is very happy. Cargo, just checking number, is up in unit revenue 21%. As I explained, the unit revenue, mainly driven by the load factor, is up on the passengers by 2.5%, which drove up the full results by close to €400 million improvement year-over-year on our network business. Then Transavia, I'll come back on it again, 6.9% increase of capacity, almost 12% increase of unit revenue, which drove our operating results by €30 million. We know that this is always a difficult quarter because it's not the best tourist quarter for the year. So it's promising what we will see in Q2 and Q3, especially from our Transavia business. And last but not least, on the maintenance, we did a lot of shop visits. The order book is pretty, pretty full. It is almost difficult actually to sell more, as we are totally sold out on this engine business. We improved our revenues with 11%. And also, the results went up with €21 million, bringing us closer to the margins, which we saw in 2019. So all in all, €450 million up in operating results and 5% operating margin and an improvement of 5.8% in margin. Let's then go to Air France and KLM. So we see a very strong -- it's good to see that both carriers are improving their results. So we see an improvement of Air France, more than €300 million, a very strong unit revenue. Air France, let's say, developed especially very strong also to the U.S. On KLM, we saw that we are still holding back a bit on our long-haul capacity. So the unit revenue growth was 2%, so not the 4.8% at Air France, and we still have the unit cost where we are working on. So we already announced the additional maintenance cost, and KLM announced in 2025 that they will reduce 250 nonoperational roles to reach the productivity target. So good to see that both carriers are improving the results year-over-year. And last but not least, very stable and strong results of our Flying Blue business, generating now an operating margin of more than 20%. Very important for our revenue, 52% of our revenues are generated by the loyalty program. So that is very, very important asset for us, both for the airlines, but also for the third-party revenues. And we are extremely happy, as Ben already said, that we have extended our global cooperation with American Express till September 2033. So quite a long time to secure that we have this strong operational and financial performance from our Flying Blue business. Then quickly on the full year results. So it is, as I already indicated, €100 million lower than last year, and strong improvement of Transavia, €100 million improvement year-over-year, also supported by the implementation of this paid hand luggage. Maintenance improved by €20 million, so it's getting closer to, let's say, the levels what we have seen in 2019. And on the network, as we know, we had our headwinds, both in operations, both also in cargo, especially in the first half year, and of course, the Olympics. So it shows that, especially there, there will be, let's say, room for improvement for the year to come, but I will come back on that later during our outlook. We go to Air France and KLM, you see KLM, let's say, in total, let's say, we are €100 million down. Of course, we have to take into consideration that we moved Flying Blue towards the group. So that brought €200 million. So in general, you see that, let's say, both airlines deteriorated in results with the reasons already expected, but you have to also take into account the Flying Blue program. Last but not least, for 2024, if you look at the free cash flow, very strong fourth quarter. We generated €126 million in recurring adjusted free cash flow, which is usually not a very good quarter in terms of cash and much, much stronger than what we did last year. Of course, we had these exceptionals of €1.1 billion, but it's good to see that the business on itself is generating close to €300 million of adjusted operating free cash flow, taking out these exceptionals. And the leverage, we stabilized the leverage over the quarter. So at 1.7x, we have still a very strong cash at hand. You see that the lease debt is increasing, that is partly coming from the fact that we have to extend leases because the fleet deliveries are getting slower in. That is around €500 million. And we have -- especially in the beginning of Transavia and KLM, we have -- let's say, we support the introduction of this A320 and A321, especially also with direct leases to make sure that we quickly make the adaptation from the 737 fleets to our A320 and A321neos. Let's then go to the outlook, which you can see on -- let's first start on Page 20. Let's go for the, let's say, shorter term, which is the first quarter. So if you look at the picture, it looks like that we have a lower load factor that is completely related to the Easter shift. If you look at January, the load factor was up plus 1.3%. In February, the load factor is up 0.2%, and we still see very strong yields. In January, it was 5.9% at the passenger business. At cargo, it was 11%. And at Transavia, it was 3.8%. So very strong unit revenue development. Also for February, if you look at the network business, we see a yield of 3.1%. So at the end of the day, despite the fact that we have this Easter shift, we will have, for sure, a positive unit revenue in the first quarter. On Page 21, you will find our capacity outlook. So it is fully in sync as what we have presented during the Investor Day. We will grow further our long haul and short and medium haul at 3% to 5%. And Transavia, we expect to grow by 10%. So that brings in total a capacity increase of around 4% to 5% versus 2024. And then I hand over to Marjan to explain in detail what we all implemented already, let's say, for back on track, which brings further in result improvement of €450 million in the year 2025. If you look at the numbers, it will kick in, especially in, the second half year because it takes time to implement, and we know that we still have the maintenance cost, especially in the first and the second quarter, which we need to get under control. But I think we are making real progress with these 9 actions. But Marjan, please take over.
Marjan Rintel: Thank you, Steven. So we introduced the Back on Track project last year already to deliver the €450 million in '25 to reach the margin targets of 8% by '26, '28. As you can see, it consists of 5 buckets; increase productivity and save costs, restore operational capacity, increase revenues, consider the business case and reconsider CapEx. And on all 5, we made progress so far. So we announced already, we will reduce the office jobs with 250. We have other productivity measures in place already without the CLA like more seats in Embraer or handling different airlines at ground handling off-peak, but we're also busy with operational capacity. So first of all, we made a deal with the pilots until next year to secure our operation during summer and winter. We started, as you all know, the pilot on paid catering to a couple of destinations and to evaluate the pilot around summertime and then dependent on the pilots take next steps. As well, we'll reconsider the business impact we took already the decision to reduce capacity at Cygnific, and we reconsidered the real estate portfolio already, but also made a lot of decisions to reduce CapEx and increase the free cash flow. So a lot has been done already, a lot needs to be done still in the future. So we are still dependent on the outcome of the CLA discussions starting today and will proceed in the next few weeks. I think that's it. Steven, you want to add some details?
Steven Zaat: No, no, I think it's good to see that you make such progress on this very important program for the group, so thanks, Marjan. Let's go to the next slide, which is 24. So if you look at the fuel bill, you see that we are actually $300 million down in terms of dollars compared to last year. This is the fuel curve of the -- do I skip on -- sorry, I skipped. Let's first go to this one because it's even more important. So if we go to Page 23, let's look at what were the headwinds in 2024, and what are the headwinds which we will face in '25. So we explained during the half year results that we have -- we saw a lot of operational problems to produce the capacity that had, of course, a big impact on our productivity, but also at very high customer compensation cost. This is at least €300 million. It is even much more, but we expect, if you compare it year-over-year, because it will not be fully solved in the year 2025. As we know that the supply chain is still pretty difficult, but we have at least a €300 million headwind if you compare that to, for instance, 2025. Then there was this Olympics so that costed us €200 million in unit revenue and €50 million in unit cost, so it was another €250 million. And we had a difficult Air France cargo implementation of the IT tool, which costed us around €50 million. So there was in total €600 million of headwinds in the year 2024. Then before we started, actually, the year 2025, we have some headwinds. One was coming from the increase of the French aviation tax. We indicated you it is between €90 million and €170 million. It is now just implemented. And it has also a cost because it was -- has been implemented rather quickly. So that has also an impact that we cannot fully charge our customers, but we will still be in this range. On the Schiphol tariff, you see that we -- that the impact is €110 million, but we will also claw back things to our revenue. So we indicate that it will be between €65 million and €110 million, which brings at the end that we -- let's say, the headwinds for 2025 are expected, let's say, lower than the €300 million. So we should at least improve our EBIT with €300 million excluding all the improvements which we have in place to improve our unit revenues and also to control our unit cost. Then on Page 24, you will see the fuel bill. So a fuel bill of $7.3 billion, excluding a sustainable aviation fuel in 2024. It will come down with €300 million in 2025. But at the same time, we see an increase of €160 million of soft premium because the mandate is going up in France from 1% to 2%, and everywhere in Europe, it is now 2%. So that has an impact of the soft volumes we had, already more soft than any other carriers in the last year. So the impact is relatively smaller for us than for other carriers. Let's then go to Page 25. So we will indicate that there is a low single-digit unit cost increase. Take into account that we first have impacts, which are also driving up our unit revenues. So the increase of the airport charges, which we see everywhere, but also at Schiphol, the increase of the ATC charges, which all the carriers will have, will drive up our unit revenues, will also drive up our unit cost. Then we continue the premiumization, especially for Air France, the business class and the first class. And also, we introduced further our premium economy at KLM and also grow this capacity at Air France. So that will increase the unit revenues, but of course, also increase the unit cost. Then there is inflation. We know it is good to see that Air France already negotiated a CLA at 1%, which was started from the June 2025, and we keep on working on productivity. So it's back on track on KLM. We continue the transformation of Air France, and that will reduce the impact, let's say, of the net inflation for the year. So we guide low-single-digit unit cost increase for the year 2025. So to summarize, on Page 26, group capacity will go up in '25 by 4% to 5%. We expect a low-single-digit increase in the unit cost. And CapEx, and mainly driven by our fleet, will be between €3.2 billion and €3.4 billion, and we stick to our net debt to EBITDA guidance of being between 1.5x and 2x. With that, I hand over to our Group CEO, Ben Smith.
Ben Smith: Okay. Thanks, Steven. So on Slide 28, just to go over the last few points. As we close out 2024, we remain fully committed to the medium-term financial targets we set during 2023. And looking ahead to the 2026 to 2028 period, we reaffirmed the following goals. So we are fully confident in our ability to achieve an operating margin of over 8%, supported by 5 key pillars that will drive a €2 billion improvement in EBIT compared to 2023. These include implementing across our airlines and businesses a focus on improving unit revenue cost and productivity, fleet renewal, revenue growth, operational and business optimization and organic expansion. As a result of these improvements to our operating margin, we expect to generate significantly positive adjusted operating free cash flow. We also expect reduced unit costs as a result of our ongoing transformation efforts, which include efficiency and productivity improvements, fleet modernization and much smarter operations. And we are committed to maintaining a leverage ratio within the 1.5x to 2x range, which will further strengthen our balance sheet, allowing us to attain an investment-grade rating from both agencies. Turning now to the final Slide 29. Before we open up the floor to Q&A, I'd like to reflect on what has been a resilient year for the Air France-KLM Group. Despite external challenges, we've achieved steady revenue growth, expanded our premium and ancillary offerings and strengthened global partnerships. Our financial discipline has generated positive free cash flow, supporting continued investment in our long-term strategic initiatives while maintaining a strong balance sheet. Looking ahead, we remain confident in our ability to execute our strategic roadmap. Our key priorities include maintaining momentum in premium and corporate revenue growth, reinforcing our leadership in this segment, continuing our fleet renewal and sustainability efforts, thereby ensuring we remain at the forefront of responsible aviation, and accelerating KLM's transformation under the Back on Track initiative and targeting profitability improvements. With a clear path to at least a €300 million EBIT improvement in 2025 as well as our reaffirmed medium-term ambitions, we are well positioned to deliver sustainable growth and create long-term value for our customers, employees and shareholders. Thank you for your time and attention, and we now are available to take your questions.
Operator: [Operator Instructions] And our first question is from Jarrod Castle from UBS.
Jarrod Castle: And good results and outlook, I guess. Maybe some kind of next 12 months more strategic questions as well. I mean -- just a question, I mean, how important do you think it is to the group to get a third hub, just given some of the challenges you've faced over the last years, I guess? And when you look at Lufthansa, they've got 6 hubs; IAG, let's call it, 3 hubs. And I guess, from your side, just how important potentially securing a third hub, for instance at Lisbon, would be relative to competitors, et cetera? Then just in terms of kind of payments relating to hybrids or social charges, can you give any color for 2025, just what you're thinking in terms of those payments? And then really strong growth in ancillaries and loyalty. And I just wanted to get some more color on how we should think about the growth for '25 and initiatives.
Ben Smith: Okay. Thanks, Jarrod. So the importance of a third hub, before I get into that, as part of our current transformation and focus, we've been putting an enormous effort into transforming the Orly Airport operation here in Paris, which for decades was money losing. And the ongoing massive transformation of changing that from an Air France operation to Transavia, having a low-cost platform with the same cost structure, as for instance, easyJet with the benefits of Flying Blue and now a direct train line or metro line into Central Paris and us enjoying 50% of the slots. This for us is a major, major organic growth of a focus airport, not necessarily a hub. It's something that is a unique opportunity within Europe. I don't know if there's any other opportunity in all competitive markets where there's something like this that can significantly improve the results of an airline group. So that's a big focus. It's internal. We don't need to buy a new airline to do that. We're just converting what we already have. Amsterdam, as you know, we've been through a lot of challenges over the last 3 years. So without buying a new hub, getting Amsterdam, as we call it Back on Track is a big effort. And I think it's doable. This again not buying a new hub. At CDG, we're transforming CDG with focus more on premium traffic and to become less dependent on transfer traffic and because of the attractiveness of the Paris market, size of the Paris and France market, that's something very unique for us as well. And then the importance of an additional global hub, transfer hub, whatever you like to call it, say, perhaps it being Lisbon or Madrid. Yes, strategically, it's -- I think it will be very nice to have if we could acquire one of the 2 on favorable terms. As we said in the past, we're not looking to buy or merge for the sake of size. But if there is a risk on being marginalized in a certain market, then for sure, we'll put significant effort into ensuring that we succeed in integrating one of the opportunities. As you know, we have a 19% stake. We closed last year with SAS as that airline is moving toward a much more competitive hub in Copenhagen that does give us indirectly, as of today, an additional hub with the exclusive right to grow our position for majority stake and take control of that airline. That's another opportunity for us. So I think for the financial situation, which we're in, is not as strong as we will be in, in a few years. I think we are well balancing out what our opportunities are in a responsible way.
Steven Zaat: Jarrod, and then coming back on your second question, so on the social charges and the wage tax in the Netherlands, there's still an impact of €1.2 billion to go, but it's €500 million in '25 and €500 million in '26 and then a last part in 2027 of €200 million. Coming back on your hybrids. So we know that there is €800 million of coupon increase, let's say, starting date. First one is the one with Apollo in July, it's €500 million. There is the hybrid convertible of €300 million. We, for sure, will refinance those hybrids. And we, of course, take the opportunity also to reduce the hybrid stock in our capital. We will -- we see that our equity is growing so that the growth of our equity by delivering net results will also make us able to reduce further our hybrid stock.
Jarrod Castle: Great. And ancillaries, any comments around loyalty and auxiliaries for '25 and growth there?
Ben Smith: Sorry, Jarrod. On that, we’re really – we just closed our partnership with American Express, exclusive partnership that we have with them. So we’re having a lot of focus on that. I think it positions us quite well. In Europe, our partner, Delta Airlines, has got a great track record and is helping us out to maximize that partnership. So I think that will be the main focus for Flying Blue in 2025, is how to position the great brand of American Express with our strong brands to gain a better position on the loyalty front in Europe.
Operator: The next question is from Alex Irving from Bernstein.
Unidentified Analyst: It's Antoine from Bernstein. Just a question for me. Maybe can you talk us through the main upside potential from adopting an Order Management System, Nevio, and what impact on RASK and CASK are you aiming for? And second, on Transavia, are you planning to expand and taking over more French domestic routes? And can you give us some indication of how profitability will improve in the coming years?
Steven Zaat: No. I think, let's say, if you look at the deal which we have with Amadeus, it gives us a lot of opportunity to modernize actually our distribution systems and also how we implement for instance ancillaries, it will make us much more agile and quicker for the future. So instead of all having all kind of fixes in your old distribution system and all the other systems, it is -- it will be a major step. And we -- let's say, if you look at the IRR, it looks pretty good. So we have a full trust in that, that this project will enhance our capability on the ancillary side and also to make it easier for our customers in terms of bookings.
Ben Smith: And on the -- on our plans and strategies for the French domestic market. First off, this market was heavily loss-making in 2019 and the decades before. So we have shifted quite a bit of traffic to feed our CDG hub. So many of the destinations in secondary France do have incremental capacity into Paris. So local customers can use that. Premium customers are using it, but it's helping us acquire customers that were connecting via other competitive hubs to long-haul destinations to now fly on us. So that's one of the aspects of the strategic overhaul of the French domestic markets. And as you know, we're removing Air France from our Orly operation to the French domestic markets. And with the change in habits that we're seeing with many of our customers, we're rightsizing the market. So where there's still good demand. So we're usually -- where there's no good train option, you're seeing a solid replacement of Transavia with very attractive fares and attractive offer, which is what the customers are looking for. And you're seeing that on routes like today, Montpellier, Biarritz, et cetera, and we'll be putting that on Nice and Marseille and Toulouse, amongst other routes in domestic France over the coming 12 to 18 months. So an overhaul, a reduction in point-to-point flying from Orly on the routes where there are viable train options and then an increase in service to feed our hub at Roissy-CDG.
Unidentified Analyst: And maybe just on the profitability, how do you see the improvement next year and ongoing?
Ben Smith: You talk about France domestic in particular?
Unidentified Analyst: No, for Transavia.
Ben Smith: For Transavia, no, we’re going as planned. Look, it’s a very big transition to take over slots at Orly, to take over a significant number of slots at Orly to transfer that activity or a big portion of that activity to medium haul, having to create a brand and a presence in the medium haul and then bringing the whole new fleet of aircraft, so replacing 737NGs with A320neos is a big, big transformation. So we are in a transition period for the next 2 years. But medium term, we think we’ve got a real winning opportunity there, and we have high expectations of good profits for Transavia. If this initial transition to build a good platform to get there, but I think from a strategic perspective, the fact that we have this opportunity, I think we’re very fortunate to have that, and we’re taking full advantage of it. We wish we could go faster.
Operator: Our next question is from James Hollins from BNP Paribas Exane.
James Hollins: A couple for me. Just on Paris this summer. I mean, clearly, the expectation is you have a big rebound. I was wondering if you could sort of chat through even qualitatively any sort of evidence, empirical or otherwise that Paris is going to prove, a, extremely attractive this summer, and/or b, that it might even be better than usual because -- having watched the Olympics last year or whatever it might be, just let us know how you're thinking about it. And then the second one, maybe for Marjan, is on KLM. I think I saw a headline, and apologies if I missed this earlier, around potentially trying to freeze wages in KLM. I was wondering if, a, that was true, and b, whether that might even be possible without strikes. And then obviously, we need to talk about Schiphol's flight cuts. Has the 4% cut been confirmed this year? I can't remember if that's happened or not.
Ben Smith: Okay. So for the attractiveness of Paris, I think the evidence and the result of Q4 -- the results in Q4 of 2024 show that the impact -- the negative impact we experienced of local higher-yield traffic for the summer was a one-time headwind. So we're quite optimistic for Q2, Q3, even Q1, the attractiveness of Paris as a premium leisure market. If you study the rest of the hospitality business and market in France, it's very, very strong. The Olympics was a great free advertising campaign for us. You know there are a few American television shows, which make Paris look extremely attractive. The U.S. dollar is very strong. So from a revenue perspective, we're optimistic that Paris is probably the most attractive destination in all of Europe. So we're positioning our cabins and our flight schedules and capacity to take advantage of that. Now we have a well-diversified network. So if we see any weakness in that, we have a resilient African network. We've got an emerging South American network. We don't know what's going to happen with Russian overflight. That would be a bonus if demand increases out of Asia, and then, we're seeing quite a healthy Mediterranean markets or Northern Africa, and now with the reopening of Israel and Lebanon, that's something that we were worried about in the past. Obviously, it's still a risk going forward, but those are potential upsides. Over at KLM, I'll have Marjan perhaps answer that question. I'll just start your question out. The European Union did release their result or their decision and recommendations under this balanced approach, a system that they have in place to give their strong recommendations on how an airport can reduce capacity. And, of course, as you may know, it's a desire of the Dutch state to reduce noise emissions by 20%, 25%. And then there's been a big debate as to how that can be calculated, can new airplanes form part of that reduction. So we're reasonably pleased with the views of the European Commission. The -- what it would appear is going to come out of this is a reduction in capacity from a slot perspective of 500,000 movements to 478,000 movements. So you can divide that, 365 days divided by 2, we have 50% of the capacity. So the impact on us based on what we're operating today is manageable. Our big focus at KLM is getting the capacity back to long-haul capacity, back to where it was in 2019. We do have the aircraft. And with that, I think the result of KLM, that's a major part of the improvement that we're looking for at KLM, should come about. So it's not -- there's not learning new things, not buying new airplanes, it's really readjusting and adapting to the new environment or the permanent environment that we hope we'll have visibility on going forward. Now in terms of negotiations with staff, I can give you some color on that and any other perhaps details on our Back on Track transformation program that's been going on at KLM to get the margins back to where we believe they can get to.
Marjan Rintel: Yes. So referring to your question, first of all, we closed the deal with the VNV, the pilot union, so we secured our summer schedule, our year schedule, and therefore, also the budget, which is included in the €450 million. Today, we are starting the CLAs, of course, throughout the company, and our objective, of course, is to work together with unions to build a financially healthy and stable situation for KLM. We all know that the salaries in the Netherlands and also for KLM increased a lot the last couple of years. So what we said so far is our goal is 0 increase in salaries and that's what we need today referring to our current financial situation. And adding to Ben on the European Commission, well, nearly 2.5 years ago, we said we know how to reach the 20% reduction with our plan, cleaner and more efficient. And what we heard yesterday from the European Commission that everything in our plan, like you need to take fleet renewal into account and you need to take into account different ways of operational measures. So you need to start at source, is confirmed by the European Union. And so we will wait for a reaction of the Minister of Infrastructure.
Operator: Our next question is from Harry Gowers from JPMorgan.
Harry Gowers: I've got two questions, if I can. First one for Ben. I think I saw you had some comments on, I think it was, Bloomberg TV this morning that the beginning of the year has been very, very strong, especially for U.S. demand. So maybe you could give us some more color, any sense of how strong pricing has been on Transatlantic in the first few months? And is that the main driver behind the Jan-Feb yield comments that Steven mentioned earlier? And then second one is on the premium side of things. I mean what capacity growth are you expecting the premium capacity in 2025? And -- I mean, do you think you can continue to do a similar level of premium unit revenue growth versus capacity growth going forwards because in Q4, again, it is like premium capacity was plus 4% and premium unit revenues were also plus 4%. So, yes, any thoughts there?
Ben Smith: Okay. So, as you saw, Q4 2024 was very strong. We're ahead of consensus. We -- at the end of the year, we were ahead of our own internal forecast or that was a part of surprise and a big part of that was driven by point-of-sale U.S. bookings over the network, both in Amsterdam and in Paris and the point-to-point into Paris. So we see that going forward. Q1 is not the strongest quarter into Europe, as you know, historically, with the seasonality. We are seeing strength. So the attractiveness of Paris in the winter, I don't think there's been a structural shift. But in terms of year-over-year or historical trends of the attractiveness of Paris of Europe is good. It's -- I think it would go a little bit too far to say it's outstanding, excellent, the whole market is completely transforming. That's a little -- that's going a little bit too far because that's not the case, but it is strong, it's stronger than last year, and it's following the same trends that we saw in Q4. From a premium cabin perspective, as I mentioned, at KLM, we have finished the rollout of premium comfort. So premium economy, as it's called in some markets, the industry name for it, so the entire KLM fleet, the bulk of the fleet that is going to remain are the 777s and 787s. The entire fleet is now equipped with that product, and we're seeing amazing demand for it, and the pricing is good. So in terms of profitability, it's -- from a square meter perspective, it's the best on the KLM fleet. So we're happy with that. And then premium capacity, I think that the way to look at it, we are increasing capacity across the network. But on a relative basis, the cabins have larger premium cabins. So we're shedding economy seats that we're maintaining the size of the business cabin, and in some cases, we're actually increasing. So I think the exact percentage number, Steven can share that with us. But no, overall, for 2025, look it's very early in the year. And based on last year, anything -- things can come up. Our industry is always the case. When we look at the headwinds that we have versus last year, barring any surprises as of today, we're cautiously optimistic this will be a very good year for Air France-KLM.
Steven Zaat: Yes. If you look at the premium capacity, which we will add, and that’s not even including economy comfort, it will be around 6%, so higher than the 3% to 5%, which we guide for the network capacity increase.
Operator: And our next question is from Ruxandra Haradau-Doser from HSBC.
Ruxandra Haradau-Doser: First, the new EU Commission has been in office for a few months. What are the signals you receive? And what are your expectations on the main priorities of the new commission for the aviation sector over the next years? You highlighted the benefit from the paid luggage, Transavia. There was some debate at the end of the last legislative period about addressing luggage fees and ancillary revenues of airlines. Do you expect this to be a topic for the new commission? Second, could you please talk about corporate traffic? Do you still see it recovering? Or do you think corporate traffic has achieved a new post-COVID normal? Third, could you please give us an update on the EU cargo cartel case? How shall we think about cash outflow this year? And finally, you probably have now good visibility on Q2 bookings. What load factor and yield trends do you see in your current Q2 bookings?
Ben Smith: Okay. Ruxandra, I think that's 5 questions, you said 3, but anyway, it's okay. Okay. All right. So where to start, the new European Commission team at the European Union. Well, I think with what we're seeing in the United States and the new approach to markets as being more protectionist and inward focusing. We're hoping that we don't lose competitiveness and that the level playing field keeps going in the right direction. It does not take a reverse. That's what's most important. And it's not just for the aviation industry. It's for all industries in Europe. And I think the language we're hearing coming out of the European Union is indicating that the support for European industries will be stronger than in the past to ensure that Europe does remain competitive. So we're cautiously optimistic that will roll down to airlines, but Europe is a -- European Union is a big organization with many, many countries, and it can get bureaucratic. So we're lobbying as best we can with some of our competitors who we are aligned with in Europe to try to ensure that we remain competitive globally. This is a big challenge, and we're hoping that the European Union, European Commission can align with us because we truly believe that strong aviation airlines, strong airlines in Europe is net-net positive for the continent. And then on the paid hand luggage, I mean, look, this is -- it's a frustration on our part. Yes, there's -- yes, there may be some consumer push, but this is consumer choice. It gives consumers more choices. We have a very big range of products. We didn't invent this. It's in the U.S., it's in Europe, customers want the option of, in some cases, the lowest possible fare, and they don't need a paid hand luggage. And those that are they do want that. There are options to pay, pay not, board early, not to board early, buy food onboard, not to buy food onboard and this a la carte type offering for all the different products and services that we have is the standard around the world for the low-cost market. So it would be a real shame if Europe takes on a position where it would like to dictate what our product offerings are or this is not what the customer or the bulk of the customers are looking for. I think where we can continue to try to improve is ensuring that customers have a strong visibility of what their choices are and do not get any surprises when they arrive at the airport because they weren't properly informed on what their choices were at time of booking. So this year, I think we can always improve, and we are spending time on it, and having overall ban on charging paid hand luggage I think would be wrong.
Steven Zaat: Yes. And then on the cargo claim, let's say, we expect that it is coming to an end. So let's say that we expect that we will have that payout in 2025. So I think we will have that this year. But I suppose it's coming now finally to an end. Then on the Q2 bookings, yes, we see still very strong bookings. We see also possibilities to further increase the RASK growth. It is a game of booking and yields, of course, but we are quite optimistic about the unit revenues in the second quarter.
Ruxandra Haradau-Doser: Maybe also on corporate traffic. What are you currently seeing?
Steven Zaat: I think the corporate traffic is now around 80%, as what it has been pre-COVID. So it goes hand-in-hand a bit with the capacity growth. So it is not accelerating anymore. I think we are in now a new normal. Every time we add capacity, we see that the corporate traffic on itself is growing, but you are still, let's say, at 80%, if you take into account also the fact that we -- let's say, if you also look what is the capacity growth.
Operator: The next question is from Stephen Furlong from Davy.
Stephen Furlong: Well done on the results, by the way. Just want to ask about the medium-term plans. Operating margin still maintained above 8%, which is kind of a different paradigm than people would have seen before from the group. Where do you see in -- obviously, everywhere, it's going to have to improve, and a lot of heavy lifting has already happened. Where do you see then the leaders and laggers in that achievement of that in the different divisions? And then one other question. For the summer, it sounds like the market where you think is going to be the strongest is going to be the transatlantic or one would hope it would. Where -- what's your view on the summer, peak summer in particular, for intra-Europe or short-haul? Do you think that, that at this point in time still looks favorable? Maybe, for example, that we have, let's hope, a little bit less ATC issues this year, particularly if something happens on the Ukraine front.
Ben Smith: Okay. Thanks, Stephen, and thanks always for your support of our stock. It’s much appreciated for the studies that you do on our company. Your very good reports, we like reading them. Okay. So on the 8% target, yes, we’re still holding strong to it because what we’ve seen, I mean, as you watched at Air France going from under 2% in 2019 up to the level that we saw in 2023. And if you pull out the one-offs in 2024, which would have been – 2023 was record, 2024 without the one-offs would have been record as you saw Q4 was a record performance. We see that continuing through 2025 so that the path towards 8%, we believe, is still doable. Of course, operating in France is always a challenge, always unknowns. Managing labor stability is not easy. For the taxation situation in France, we had a big, big challenge this year with the passenger – the increase in passenger taxes, which I think we’ll be able to manage. And as you mentioned, air traffic control, it still has an impact. But at Air France, I think we have a good path, and we’re still holding to the same strategy we put in place in 2019. At KLM, hopefully, the – all of the unknowns, lack of visibility around the number of slots that started 2.5 years ago that Marjan and her team had to deal with, no one else in Europe has had to deal with it. So we’re really impressed, and we can’t believe the resilience they have in dealing with this environment. Hopefully, that’s coming to an end. So we’ll get a good sense of the capacity we can offer based on the number of slots. I think we definitely bottomed out in terms of the challenges and difficulties in flying the full fleet at KLM. As Marjan mentioned, we terminated a very, very difficult agreement with our pilots to fly incremental capacity in Q3 to take full advantage of the fleet that we have. And the KLM model is quite solid in 2019. Air France had to do a complete overall and reworking and redesign of the model where the KLM based model is solid and has been solid for decades. So we just got to get it back to what it was doing. The cost structure has changed because of the big inflation we’ve had in the Netherlands. However, we have new aircraft coming in, the big increases in – that we offered in wage rates over the last few years, I think, are now going to be tempered. And the aircraft that are coming in, not just on the long-haul side, but with – so that’s with the A350s, the 320neos as well as the Embraer 195-E2s. If you look at the unit cost improvement on all 3 of those aircrafts, I think that should help us. And then with the closed airport at Schiphol, the bright side of having a reduction in capacity is, we expect the pressure on pricing will go up. So from a KLM perspective, I think it’s – we have a clear path. It’s execution on that front. And that’s relatively straightforward for us. As you said, heavy lifting, not easy. And then the other part that I haven’t mentioned, of course, are the other businesses, cargo and engineering and maintenance, which we’re seeing strong turnaround improvements on those 2 fronts as well. And sorry, you mentioned our outlook for the short haul, medium haul. So the – I just mentioned the Embraer 195 and 320neo. So 320neo is taking over the Orly operation with Transavia. And the Airbus A220, which I’ve not talked about today, which is taking over the bulk of the Air France medium-haul operation at CDG is proving to be a big, big part of the transformation in the intra-Europe market that we need to feed long haul. So it’s very challenging for us, as you know, with CDG being an open market, the airport is not saturated. So we are exposed to all the competition. But despite that, with the strong hub and a strong brand and good position in the corporate market with this much lower cost tool, we’re seeing a good improvement. The impact of the Pratt & Whitney GTF on our fleet. When you look at our competitors, I think we’re in a better position. Of course, with the A220s, the E195s, we are experiencing the negative impacts of the Pratt & Whitney GTF. However, I think we’ve bottomed out in terms of number of airplanes have to be grounded. We are able to backfill because we have quite a number of A320s that are unencumbered. And, of course, we are being compensated by Pratt for the engines not performing as planned and the numbers have to come off way. So Europe flying, we see it continuing to improve.
Operator: [Operator Instructions] The next question is from [indiscernible] from Bank of America.
Unidentified Analyst: I have two. First one on the Russian air space. What are your expectations for the potential reopening of the air space? And what are your thoughts on capacity restoration into Asia? And then my second question is on your CASK guidance. Can you give a bit more color on the phasing by quarter?
Ben Smith: Okay. Well, first half, we're not sure how we can switch your sell to a buy. I don't know what it's going to take to get you guys to change your view. But anyway, on the Russian overflight as I've already answered to somebody else who asked that question. It will be a nice surprise. We're not counting on that. It will be, I'd say, a bonus if we could see that happen. We've reduced our capacity, and thanks to our diversified network, we're able to do that, and the routes that we're operating that are avoiding Russia are performing okay. We're not losing a significant amount of money. Most of them are breakeven or profitable, and we see that our corporate customers are sticking with us, and many of them are not comfortable overflying Russia. So there is the demand. And the demand that's for capacity out of China is not nearly where it was in 2019. So we're not missing out on streams that were there in 2019, and we have not put capacity levels back there. And I think if we're there, it would be simply better for us. So lifting Russian overflight bans, I think, would be not something that is causing us much concern. We don't like the fact that it's not a level playing field. This is extremely worrisome to us that things do change and we can't fly over when the demand does go up, and we could be in a position where the level playing is not there. That's for us -- it's not viable and it should not be there. But in today's environment with dynamics in there, we're doing our best to manage demand with capacity.
Steven Zaat: And if you look at the pattern of the unit cost development, I think if you look at the range, I think we will be at a higher range in the first and the second quarter. It takes time to implement first Back on Track. So to get full – these full results, it will be more at the second half of the year. Second also is the fact that our second quarter was pretty strong in unit cost. So for sure, let’s say, the year-over-year impact will be, let’s say, especially coming in the second half year. So it takes time to implement that contract. We also have still maintenance costs, which are impacting us in the first quarter and the second quarter. And then in the second half year, you will see that we’re getting to the lower end of the range.
Operator: It appears there are currently no further questions, so ladies and gentlemen, I give the floor back to you for conclusion.
Ben Smith: Okay. Well, thank you, everyone, for taking the time to listen to our call and for your questions, and we look forward to talking to you when we release our Q1 results in 3 months’ time. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.